Operator: Good day. My name is Stephanie and I will be your conference operator today. At this time, I would like to welcome everyone to the Nokia Q3 2014 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. (Operator Instructions). I would now like to turn the call over to Matt Shimao, Head of Investor Relations. Mr. Shimao, you may begin.
Matt Shimao: Ladies and gentlemen, welcome to Nokia's third quarter 2014 conference call. I'm Matt Shimao, Head of Nokia Investor Relations. Rajeev Suri, President and CEO; and Timo Ihamuotila, EVP and Group CFO, are here in Espoo with me today. Before we begin our discussion, I'd like to remind and ask investors who plan to attend our Capital Markets Day on November 14 to please register as soon as possible, so that we can optimize the venue logistics. Any questions can be addressed to cmd2014@nokia.com. During this call, we'll be making forward-looking statements regarding the future business and financial performance of Nokia and its industry. These statements are predictions that involve risks and uncertainties. Actual results may therefore differ materially from the results we currently expect. Factors that could cause such differences can be both external, such as general economic and industry conditions, as well as internal operating factors. We have identified these in more detail in the risk factors section of our 20-F for 2013 and in our Interim Report issued today. Please note that our results release, the complete interim report with tables and the presentation on our Web site include non-IFRS results information in addition to the reported results information. Our complete interim report with tables available on our Web site includes a detailed explanation of the content of the non-IFRS information and a reconciliation between the non-IFRS and the reported information. With that Rajeev, over to you.
Rajeev Suri: Thank you Matt and thanks to all of you for joining. It is a please to speak to you today after a quarter where Nokia delivered both growth and strong profitability. As you know, in our guidance earlier this year we pointed to networks growth in the second half. In fact all three of our businesses grew on a year-on-year basis in the third quarter and networks delivered a particularly strong overall performance with 13% year-on-year net sales growth and near record profitability. HERE followed closely behind with 12% growth and technologies with 9%. This robust performance is a result of the right strategic choices, strong execution across our three businesses, particularly in Nokia Networks and some interesting tailwinds in the quarter that I will discuss in a bit more depth later. Last quarter I gave you an update on the progress of my 100 day plan and while I won’t go through each of the five priorities that I set, I would like to give a brief comment in two areas. The first is the effort to move rapidly from high level strategy and vision to bold and detailed execution plans. I believe that we have made good progress in that area and I'm looking forward to sharing more with you and getting your feedback at our Capital Markets Day in London on November 14th. We have looked hard at where we are today, where we see opportunities in the future and how we define our long-term strategy and vision. The second is on the topic of culture and values. One quarter ago on the same day as our earnings announcement, we started sharing our refreshed values with company leaders, followed by an all employee cascade. The response from employees have been remarkable with about 95% awareness of our new values and close to 90% favorability. Given that the launch was done in the midst of summer holidays, we are extremely pleased with this outcome and in fact my team tells me that the short time it took to reach such levels is among the best they have ever seen. So good momentum in this area that provides a sound foundation as we now move further align our culture around some common things. Let’s now turn to the quarter. At the group level we delivered net sales of €3.3 billion, a 44.5% non-IFRS gross margin and non-IFRS operating profit of €457 million or 13.7% of sales. In terms of our businesses let me start with HERE, where we just announced the appointment of Sean Fernback as President. Sean is a well-recognized technology expert with 25 years of experience in the location, automotive, consumer and telecommunication businesses. He joined HERE earlier this year from TomTom, where he oversaw the overall product design, hardware and software engineering and manufacturing of all of their consumer products and accessories. I'm extremely pleased to have Sean take on this challenge and join the Nokia Group leadership team. In addition to Sean’s appointment, the primary topic I would like to discuss about HERE is an adjustment to our strategy. We will increase our focus on our excellent automotives and small but fast growing enterprise businesses. We will also continue to extend our reach to consumers to work with mobile device vendors such as Samsung and internet players such as Yahoo!. This is a business for us that leverages our location cloud capabilities and it will help us remain fully tapped into the innovation of the consumer eco system. While we increase focus in these areas, we will de-prioritize efforts to build direct-to-consumer businesses. We simply see better opportunities in other parts of the HERE business and we want to target our resources to those areas. As I mentioned on our last call, we will also work to strengthen operational effectiveness at HERE in order to ensure that we’re getting maximum output from our significant R&D investment and to improve longer term profitability. Despite these actions, I want to be very clear that the vast majority of HERE will not change and much of it will even be strengthened through greater focus. We know we have customers who depend on us today and we remain absolutely committed to meeting their needs in the future. With this adjustment to our strategy, we will require to conduct impairment testing, which as you will have seen as resulted in a significant impairment of goodwill and change in the asset carrying value of HERE. Timo will share additional details about this topic in his remarks. Turning back to the quarter, HERE had net sales of €236 million, up 12% year-on-year and the first year-on-year growth since the second quarter of 2012. Strong automotive and enterprise sales and the positive impact of our expanded license agreement with Microsoft more than offset the loss of revenue from the former devices and services business. From a profitability perspective HERE had another breakeven quarter, reflecting the investments we are making in the business. An example of this is the commitment we are making to our location platform, which enables faster time to market for our customers and helps them provide a broad range of services such as real-time traffic and parking to end users. HERE’s customers are starting to move from being content only customers to platform customers. Highlights in the quarter for HERE include the completion of the acquisition of Medio, a pioneer in the area of real-time analytics, the demonstration of new technology to support the development of the connect car and enable smart cities and an agreement with Samsung to bring HERE maps and location platform services to Tizen-powered smart devices combined with the development of a companion application for Android based Samsung Galaxy products. HERE’s leadership was recognized by Frost & Sullivan, who noted that HERE stands apart for its knowledge and industry experience, impressive data collection ability, high level of personalization, revolutionary products and wide ranging partnerships with nearly every OEM and system vendor. As we bring more focus to HERE's strategy and that we start to benefit from some of our significant R&D investments, we see opportunities to improve HERE’s financial performance as I already noted. Next on to Nokia Networks which had a strong quarter. Net sales were up 13% year-on-year at €2.9 billion and up 15% versus the second quarter. At constant currency Nokia Networks net sales would have increased 15% year-on-year and 12% sequentially. It was particularly pleasing that this growth did not come at the cost of profitability. Non-IFRS gross margin reached 39.1% and non-IFRS operating margin was 13.5%, both clearly very strong. We now have delivered six consecutive quarters with non-IFRS gross margin over 36% and our non-IFRS operating margin was the second best in the history of the business. We agreed to some exciting new deals in the quarter including a renewed and expanded managed services contract in Nigeria with Etisalat, radio access and services for Telefónica Spain and a five country win for IMS and voice over LTE with a major European operator just to name a few. We also work with a number of customers to ensure readiness for the iPhone 6 launch, including support for voice over LTE. Our relentless focus on quality delivered good results with a quality assessment by China Mobile of its commercial TD LTE network showing a clear advantage for Nokia Networks in terms of both network performance and implementation speed. From a technology perspective we continued to show leadership in 4G radio technology with a number of product launches, including the world’s first 3.5 gigahertz carrier aggregation capable radio and a solution to smoothly migrate WiMAX networks to TD LTE advanced. Telco cloud and virtualization remain a clear priority for us and we became the first vendor to supply a commercial telco cloud solution compliant with ETSI Architecture for end to end voice over LTE services. In previous calls I told you that we will be placing a higher priority on partnering and our new partnering business unit went live in the quarter. We see considerable potential in this area and have already announced partnerships with Flash Networks and Red Hat. While we feel good about our performance in the third quarter, it is also important to recognize that we had some unique developments, business mix, regional mix and some catch up sales from earlier quarters. Let me briefly talk about each of these issues, while also providing some more detail about the quarter. First, our business mix was weighted heavily to mobile broadband versus global services, 57% to 43%. We have not seen a proportion like that for many years and do not expect it to continue at that level as the services team will now accelerate activity to deploy equipment delivered to our customers in the third quarter. Mobile broadband delivered excellent growth and profitability in the quarter. While global services delivered its 6th consecutive quarter of double digit non-IFRS operating profit, their year-on-year sales declined by 5%. Overall good performance from both segments, but particularly MBB with a combination of strong higher margin LTE network deployments and co-network sales. Our R&D spend remained roughly flat year-on-year but we continue to generate significant productivity gains and are actually increasing headcount as we reduce subcontractor spend. As a result we’re able to continue to add R&D capacity to areas like LTE, small-cells and liquid core. Additionally, within the mobile broadband mix we saw strong hardware sales where our cost reductions continue to deliver significant benefits. We remain focused on getting global services back to growth. The rate of year-on-year sales decline has slowed and given that services sales typically lag product sales in our industry by two to three quarters, we see positive signs for the future. Second the region mix was quite favorable from a profitability perspective. In particular North America was up 53% year-on-year and 50% sequentially. Quite pleasingly we saw a recovery in Europe which grew 9% year-on-year and 15% sequentially and showed robust deal momentum. Greater China also had a strong quarter with excellent sales growth, as well as the absence of cost incurred in anticipation of a technology shift to TD LTE related to major projects, something we have referenced in earlier calls. Middle East and Africa was also up year-on-year, despite ongoing challenges related to the political and security environment in several countries. We saw a slight dip in Asia-Pacific with lower network deployments in Japan, mostly offset by higher network deployments in Korea and India. In Latin America, which I called our most challenging region on our last call, we saw a net sales decrease by 4% year-on-year, primarily due to lower network deployments in Brazil and Mexico. While this is a slower rate of decline than we have seen in earlier quarters and we believe that the new management we have put in place is gaining traction, we are still not pleased with our performance in this region and the work we need to do to turn it around is not yet done. Third, as you are aware we faced some component shortages in the first half of the year. We saw those come to an end for most products in the third quarter and as a result we were able to largely meet the demand that we had not been able to capture earlier in the year. These catch up sales gave us a positive sales bump in the third quarter. Thus while we’re optimistic about the future, we are cautiously so, given increasing concerns about risks to the macro-economic environment. We believe we are better positioned than others to face potential headwinds, given our lean cost structure and operating discipline. Overall I'm quite pleased with the performance of networks and indeed proud of the team for delivering such a strong quarter. Moving to Nokia Technologies. It was a quarter that from a numbers perspective was largely business as usual. Sales at EUR152 million were up on both a sequential and annual basis. Profitability was also good, with a 17% year-on-year increase in non-IFRS operating profit. The technologies team contributed multi-year research and development of speech codec reference software to the enhanced voice service, EVS codes that was selected by 3GPP in the quarter. Additionally we made continued progress on building the strong business infrastructure necessary to support our longer-term ambitions. Over time, we clearly expect more from this business as we seek to expand patent, technology and brand licensing as well as other opportunities. But as I said on the last call, we will approach new opportunities within technologies in a methodical way, possibly testing some ideas in the market and using a strict gating investment model. Ramzi Haidamus is now fully onboard to lead the team and he will be joining us at the upcoming Capital Markets Day to give some more perspective on technologies and future focus areas. Before handing over to Timo, I want to close by saying that while Q3 was good, we will not be lulled into complacency. There is still plenty of work to do to keep networks performing well and to tap the full potential of technologies and HERE. With that Timo, over to you.
Timo Ihamuotila: Thank you, Rajeev. I would like to start by spending the next few minutes taking you through our cash performance during Q3 as there were a number of significant non-operational drivers that impacted our cash flow and quarter ending cash balance. On a sequential basis, Nokia’s gross cash decreased by approximately €1.4 billion with a quarter ending balance of approximately €7.6 billion. Net cash and other liquid assets decreased by approximately €1.5 billion sequentially, with a quarter ending balance of €5 billion. Compared to Q2 the primary drivers of the decrease in our net cash balance related to the payment of the ordinary and special dividends, which totaled approximately €1.4 billion or €0.37 per share as well as share repurchases which totaled €220 million in Q3. From an investing perspective, we have cash outflows in Q3 of approximately €160 million related to the acquisitions of SAC Wireless and Medio as well as cash outflows of approximately €60 million related to capital expenditures. Looking at the operating cash performance of Nokia’s continuing operations in Q3, cash inflows of approximately €400 million were primarily driven by strong performance at Nokia Networks. Finally on cash and the Microsoft transaction, last quarter I commented that we expected to receive the balance of the net proceeds from the sale of devices business during the second half of this year. While we did not receive any material payments related to this in Q3, we have subsequently received a majority of the expected proceeds in early Q4 with the remainder expected to be received in early 2015. Then a few words on OpEx. In Q3 continuing operations, non-IFRS OpEx increased by 5% year-on-year and 7% sequentially. The year-on-year increase was primarily due to higher operating expenses at HERE and to lesser extent at Nokia Networks. As we have commented in recent quarters, we are continuing to invest in targeted growth areas for HERE, for example in Connected Car and enterprise segments. We believe these investments are well aligned with industry trends and needs of HERE’s customers. For example, HERE recently received the highly coveted supplier innovation of word from BMW Group for its work in the area of connected driving. Also of the 62 new car models presented at the recent Paris Motor show, HERE was present in more than 50. At the same time, as Rajeev mentioned, we are focusing on improving HERE's overall OpEx efficiency to drive growth and strengthen its financial performance. Sequentially, the increase in continuing operations non-IFRS OpEx was primarily due to higher R&D expenses in Nokia Networks, where we continue to invest in focus areas. I said earlier, while we are increasing our R&D headcount, we are simultaneously benefiting from efficiency measures that have been implemented over the past couple of years. In addition, we have more recently started newer initiatives, including broader deployment or lean and [indiscernible] methodologies across networks and are increasing automation. These are all efforts aimed at efficiently expanding our overall R&D capacity. When combined with our strong focus on quality and innovation, we believe we have created a strong operating model to support our strategy. Turning to OpEx trends in Nokia Technologies, where we are investing to support the strategy and opportunities for this business, consistent with these technologies, non-IFRS R&D increased 9% sequentially. Completing the OpEx picture, Group common functions, non-IFRS OpEx was €32 million in Q3. As I mentioned last quarter the SG&A in Group common functions is generally stable but the other income and expense can fluctuate. Then a few words on HERE and the impairment charge. As a result of an adjustment to its strategy and the related new long range plan, we conducted an impairment assessment of the goodwill related to our HERE business in Q3. Subsequently we recorded a charge of approximately €1.2 billion to Nokia’s operating profit for the impairment of goodwill based on our assessment that the recoverable amount of HERE is now €2 billion. The impairment charge is the result of an evaluation of the projected financial performance of our HERE business. This takes into consideration the clearly slower ramp up of net sales related to direct to consumer monetization than earlier expected and our plans to curtail our investment in shares and higher risk and longer term growth opportunities. It also reflects that the current assessment or risks related to the growth opportunities that we plan to continue pursuing, as well as related terminal value growth assumptions. After consideration of all relevant factors, we reduced the net sales projections for HERE particularly in the later years of the forecast period which in turn reduced projected profitability and cash flows. Additionally changes in foreign exchange rates increased the carrying amount of good will in euro terms, which in term increased the amount of the impairment. Somewhat related to the impairment charge as well as HERE’s cumulative loss position over the past three years, we also recognized a €325 million valuation allowance related to HERE’s Dutch deferred tax assets during Q3. Staying with tax, in Q3 Nokia recognized €2.1 billion of deferred tax assets from the reassessment of recoverability of deferred tax assets related to Finland and to a lesser extent to Germany, of which €2 billion was recorded as a non-cash tax benefit in Q3 2014 reported tax expenses. If you recall, as a result of the transactions with Siemens and Microsoft last year, we performed an assessment of the potential and recoverability of Finnish deferred tax assets. At the end of Q3 2013 we disclosed that Nokia Group had total approximately €2.7 million of net deferred tax assets, which had not been recognized in our financial statements. We have since been utilizing some of these assets in recent quarters against our taxable profits in Finland, including part of the gain on the sale of the devices business to Microsoft. At the end of last quarter, we disclosed that Nokia had approximately €2 billion of unrecognized Finnish deferred tax assets. Based on recent profitability and latest forecasts, Nokia has been able to re-establish a pattern of sufficient tax profitability in Finland and Germany to utilize to cumulative losses, foreign exchange, foreign tax credits and other temporary differences, which consequently allowed us to recognize or write back the EUR2.1 billion, of which EUR2 billion came through P&L. A significant portion of Nokia's Finnish and German deferred tax assets are indefinite in nature and available against future Finnish and German tax liabilities. On a non-IFRS basis, after having recognized these deferred tax assets we now expect to record tax expenses at our long-term effective tax rate of approximately 10% and 25%. However Nokia’s annual cash tax obligations are expected to continue to be approximately €250 million until Nokia’s deferred tax assets have been fully utilized. Cash taxes may vary depending on profit levels in different jurisdictions and license in companies potentially subject to withholding tax in certain jurisdictions. Applying the estimate, the 25% long-term effective tax rate to Nokia’s continuing operations Q3 non-IFRS pretax profit of €432 million would have resulted in a tax expense of approximately €30 million higher than the one we recorded in Q3. And this would have reduced our non-IFRS EPS by approximately €0.01. So please remember to use the approximately 25% tax rate in your EPS model going forward but note our ability to utilize the deferred tax assets to partially mitigate future potential cash tax obligations. And now a few words on capital deployment. During Q3 we commenced repurchasing shares as part of our two year, €1.25 billion share buyback program. In total we repurchased approximately 36 million shares in the quarter, equaling €220 million. We plan to recommence the buyback program during the current quarter. Finally I’d like to spend a few moments on our guidance for the rest of the year. While I'm pleased with the strong year-on-year revenue growth and excellent profitability in Nokia Networks this quarter, it is worth noting that the benchmark for growth in Q3 was quite low. In addition as Rajeev highlighted, networks Q3 top line also benefited to some degree from our ability to address the component shortages that negatively impacted our top line progression earlier in the year. Something we also don’t expect to benefit from to the same extent in Q4. In closing, we have made good progress in Q3 and we are highly focused on capitalizing on the value creation opportunities we see ahead of us across all three of our businesses. We look forward to discussing this in more detail at our upcoming Capital Markets Day in London next month. And with that I’ll hand over to Matt for Q&A.
Matt Shimao: Thank you Timo. For the Q&A session, please limit yourself to one question only. Stephanie please go ahead.
Operator: Thank you. [Operator Instructions]. Your first question comes from the line of Alexander Peterc with Exane BNP Paribas. Your line is open.
Alexander Peterc - Exane BNP Paribas: I would just like to ask question on CapEx trends right now. Do you see more favorable spending at the moment, specifically in mobile broadband? The expense of core networking, that's something that some of your competitors have been highlighting. So I'm wondering how things look from your perspective. And do you also see SDN and NFV influencing carrier spending patterns at present. And if so how? Thank you.
Rajeev Suri: Thank you, Alexander. So, we’re not seeing a big deviation at the moment from what the historical split has been between core and radio within mobile broadband. And our own performance we benefitted in mobile broadband with 33% year-on-year growth and that was driven primarily by radio but also by core which increased on a year-on-year basis. The second question on SDN and NFV, we’re not yet seeing it come through. Yes, we’re seeing RFQ’s and we're in a number of trials and proof of concept basically and that’s the phase wherein I would say with regard to NFV, SDN, in terms of how that will impact carrier spending, I think it's probably more towards the end of next year and 2016.
Matt Shimao:  Thank you, Alex. Stephanie next question please.
Operator: Your next question comes from the line of Gareth Jenkins with UBS. Your line is open.
Gareth Jenkins - UBS: Just a quick follow up on the -- one of the unique factors you called in the quarter on the component supply shortages. Could you just maybe help us quantify that and maybe whether you expect normal season art into Q4 excluding that effect and maybe one follow up if I could? Thanks.
Rajeev Suri: Thanks, Gareth. So yes, we saw a few unique developments in the quarter as already commented by Timo, the mobile broadband and global technical mix, the regional mix enhanced by North America and then there was a catch-up phase. It's fair to say that we saw the catch-up sales that would come through in the quarter but when you catch-up, then you can catch-up more than expected. So that to some degree happened in Q3. In terms of the effect on Q4, I think we’re not giving specific roughly guidance except to say will be annual guidance is slightly above 11% operating margin for the full year.
Timo Ihamuotila: Thank you, Gareth and for your follow up if you could re-queue and then we'd be happy to take. Stephanie, can we take the next question please?
Operator: Your next question comes from the line of Stuart Jeffrey with Nomura. Your line is open.
Stuart Jeffrey - Nomura: Hi. Thank you very much. I have a question on in a way you're going to extend works, extend the profit to be the losses and turnaround to match profitability. You’ve turned around revenues. Where do you go next? I'm presuming you’re going to say profitable growth but I'm sort of wondering where that growth comes from. So if you could perhaps expand on how much of that growth maybe is coming from market-share gain ambitions, how that might -- how you balance that with profitability and maybe what areas you’re seeing outside of radio and core that might give you the ability to outgrow what seems like a slow radio market outlook? Thanks.
Rajeev Suri: Thanks, Stuart. So a way to from here of course, I am going to say it's a balanced profile between profitability and growth and that’s how we like to run the Company and that’s what we need to do. On the cost side, we see as Timo commented, a number of more sophisticated area shall I put it that way to go through, i.e. Lean, Kaizen, Six Sigma, we think quality is a big driver of productivity and it's a bottom line driver. So we will continue focus on that. That gives us the headroom to be able to drive some more share within the mobile broadband market. And then in terms of new areas SDN, NFV moving into other spaces such as adjacency, such as antennas, LTE in the normal mode but also LTE for public safety which we’ve commented on previously will become a driver and small sales which has not really begun. Small sales were just in time in terms of having the product on time because I always talked that the market will come later than most people anticipate. So we’ll be on the height phase but we haven’t yet seen enough momentum on small sales in real deployments. So those are some of the areas that we’ll continue to focus on.
Matt Shimao:  Thank you, Stuart. Stephanie next question please.
Operator: Your next question comes from the line of Sandeep Deshpande with JPMorgan. Your line is open.
Sandeep Deshpande - JPMorgan : My first question is regarding -- in the Networks business or rather overall in the business maybe Timo, can you comment on how you look at your cash and how you plan to spend this cash going forward? And secondly in the Networks business, maybe you can comment on is there or rather overall, is M&A a major portion of your future strategy?
Timo Ihamuotila: Thanks, Sandeep. So first on cash, clearly we actually had quite a big move in the net cash balance. So it went from $6.5 billion to $5 billion at the end of the quarter and a big part of that where the shareholder returns, both dividend as well as the buybacks, what we started, on top of that we had about €220 million in investments of which about €160 million was in acquisitions and the operating cash flow was positive about €400 million, which we think is a good result in Networks given it was a growth quarter. Now looking at further investment, we of course continue to allocate capital efficiently into our businesses and that is what we are here to do, to drive best possible risk return for the shareholders.
Matt Shimao:  Thank you, Sandeep. Stephanie next question please.
Operator: Your next question comes from the line of Andrew Gardiner with Barclays. Your line is open.
Andrew Gardiner - Barclays: Another one on Networks revenue, beside a thing if I may. You highlighted the unique aspects that led to out performance in 3Q and you're clearly still pointing to below seasonal trending 4Q, whatever seasonal may be these days. But I was just wondering if you can describe a bit more about how the regional mix may evolve in the fourth quarter from where you sit today and quarter-to-quarter trends do seem to be bit more influenced by some of these major projects that are going on, be it the spring 2.5 gigahertz rollout that you are part of in the States, the Chinese 4G roll out. So I know you don’t want to speak specifically to customers but just in terms of the potential impact of some of these big projects in the fourth quarter, any new big projects that are coming and anything you can highlight around that would be helpful.
Rajeev Suri: Give some quick color on regions. So we’ve seen strength and momentum in East Europe and to some degree in West Europe through the acquisition of these projects that we’ve won recently. I think southeast and Europe remains challenging and of course we know the Ukraine and Russia situation remain something that we are watchful off. Middle East and Africa, we have momentum there as well, particularly in Northern Africa and we had some good wins recently. Latin America, I have commented before is a challenged region for us at the minute but we of course have slowed the rate of decline, if you like on revenue and there is new leadership in place to drive that turnaround further. North America went well for us because we have both the projects in rollout mode. It was somewhat more broad based but of course one of the customers was a bigger driver given that we didn’t have meaningful position with that customer a year ago. Greater China continues its very significant rollout. All three customers are in LTE rollouts and given that we are the number one foreign vendor in China with regard to LTE, we’re benefiting at the moment but it’s hard to say how that will evolve for next year. And then finally Asia Pacific, we saw momentum in Korea and India. There will be new auctions in spectrum in India in February next year and we’re seeing some of the regulatory headwind sort of go away with the new government in place. That’s kind of broadly the color I give you but not being specific on Q4.
Timo Ihamuotila: And maybe I’ll comment a bit on how we kind of like look at our Q4 guidance. So really looking at Networks Q3 results, we clearly had a very strong quarter and we had very strong 15% sequential revenue growth, which is above normal seasonality and this was reported by strong performance in North America and China. Then when we look at that additionally, there were couple of unusual elements as discussed earlier. So we benefited from some of this catch up sales and we also had to elevate the proportion of NPV in the mix which benefited Q3 on a gross margin level in particular and this is something what we don’t expect to continue quite the same way going into Q4. And then finally I would like to remind that OpEx is seasonally usually higher in Q4. So it would be difficult to have a higher OpEx going into Q4.
Matt Shimao: Stephanie next question please.
Operator: Your next question comes from the line of Mike Walkley with Canaccord Genuity. Your line is open.
Mike Walkley - Canaccord Genuity: Just switching gears to the technologies division. With Nokia building infrastructure and adding to the team and contacting new potential OEM licenses, can you help us with the soft process of how long it might take for new licensees to go through the negotiation process? And also can you update us on any timing updates for the Samsung arbitration? Is it still expected sometime in mid-2015?
Timo Ihamuotila: Timo. So I’ll talk a little bit about this because I think we have discussed earlier that basically when you look at new licensees, so of course we had opportunity also with existing licensees but those come when they come. As those start to close to expiree -- but with new licensees, so any discussions in this kind of set up of course take first a bit of time to negotiate and that time can be anything between three to six months or something like that and if one would then not come to an agreement and you would need to call it take the legal type of enforcement route, that easily can take the year or so to come into fruition. So these are quite long processes. Now we absolutely have things ongoing with new licensees, with potential new licensees but that is kind of the timeline unless we could get some of the discussion being resolved either through direct negotiation or then maybe through an arbitration procedure as is done in the Samsung case. And what comes to the timing of the Samsung arbitration, we have no change in expectation. It is expected sometime during 2015.
Matt Shimao: Stephanie, next question please.
Operator: Your next question comes from the line of Joanne Zuo with Deutsche Bank. Your line is open.
Joanne Zuo - Deutsche Bank: Just if you could maybe give us a bit more color on how you see the situation, Japan evolving currently. It looks like we’re kind of in a slightly longer CapEx decline environment here. Just if you could share your views when you think maybe CapEx in Japan, overall by all the telcos can stabilize and what could drive really such stabilization? Any kind of new technology investments on the horizon? And then also update us maybe a bit on your kind of market share developments, here given some of your competitors have been maybe more vocal on Japan than recently.
Rajeev Suri: Of course we saw Japan peak in a sense in 2012 with all the big LTE coverage base rollouts, and then at the moment I sense that there will start to be a stabilization, but that will be driven by investments in real capacity and by real product capacity, I mean LTE Advance. So carrier aggregation, two carrier aggregation, the macro three carrier aggregation, then will come small cells again. Then small cells will be driven also by carrier aggregation, it could be two carrier and three carrier in the future spectrum such as 3.5 gig will also come in the medium term. So those are some of the drivers, capacity driven but really moving to LTE advance and what some people call wideband LTE, 225 MB, 300 megabit per second speed. Our own position is we’re number one foreign vendor in Japan. We maintain that position. We're strong with all three customers that we work with; Softbank, DoCoMo and KDDI.
Matt Shimao:  Thank you, Joanne. Stephanie, we'll take our next question please.
Operator: Your next question comes from the line of Tim Long with BMO Capital Markets. Your line is open.
Tim Long - BMO Capital Markets: Thank you. Just wanted to ask about the impact of the EU China agreement that was talked about last week and we saw something about this several months ago as well. Just curious what you think that means for Nokia and profitability in the EU region? And also what you think it means for potential for revenue upside and maybe even better margin profile in the China market? Thank you.
Rajeev Suri:  We’ve always believed in fair trade. So we’ve supported that EU China fair trade should continue. We're a great friend of China. We have some business there and we've not factored in any impact from this, whether negative or positive. So life continues the same way. The competitive intensity in Europe remains unchanged, the landscape in terms of competitive intensity overall in the industry remains unchanged. So our benefits are strong cost structure, the way we managed the business and the operating discipline and continue to focus on Lean, Kaizen, all these initiatives that kind of give us the headroom to operate in, strategic flexibility to get some share in a challenging market.
Matt Shimao:  Thank you, Tim. Stephanie, we'll take our next question please. 
Operator: Your next question comes from the line of Kulbinder Garcha with Credit Suisse. Your line is open.
Kulbinder Garcha - Credit Suisse : This is for Rajeev. And I guess, Rajeev, I check on the exceptionality of the performance in the Networks business and on the margin side, but equally there are some things that would have been hurting in the margin in terms of new network contracts that you wanted to ramping up as well as the fact that pricing pressure is always an issue. As we go forward, normally as these newer contracts mature, it tends to higher margin business. So I'm just thinking in that context, I'm not really asking about you Q4 because I'm sure things can change in the near-term. I more think in that context isn’t the 5% to 10% long-term margin target NSN just meaningfully conservative now, given the performance the you have, given the business that you're winning and given where you guys execute?
Rajeev Suri:  Thank you, Kulbinder. We’ve not updated our long-term operating margin target for Networks and we continue to believe 5% to 10% is an appropriate long-term non-IFRS operating margin target.
Matt Shimao:  Thank you, Kulbinder. Stephanie, we'll take our next question.
Operator: Your next question comes from the line of Pierre Ferragu with Bernstein. Your line is open.
Pierre Ferragu - Bernstein: On HERE, so when you said don’t know -- no direct consumer focus and at the same time you seem to be referring about not letting down existing customers. If you could give us a bit more color around on that, exactly how are we doing to clear out [indiscernible] start investing in your consumer, else that you are going to continue to bring them to the market? And then most importantly I’d love to get some color on how you came to that decision, what were the pros and cons you considered in the debate. Of course I am very curious to know. You said departure. There recent departure of Michael is related to that decision in one way or another? And then lastly, the significant impairment that goes with it, does that mean that your ambitions for HERE are hardly much lower today than they were a few months ago? Thank you.
Rajeev Suri:  Thanks Pierre. Let me start and then Timo will take over with the questions. So the strategy is to increase the focus on automotive and enterprise businesses, but also to continue to extend reach to consumers through mobile device vendors and also internet players like Samsung, like Yahoo!, like others. What we are doing is then to curtail the direct-to-consumer monetizable apps and any other direct-to-consumer monetizable opportunities we had because of the fact that there is not enough evidence that there is a monetizable opportunity over the longer term. So we’ve reduced this high risk growth area, while focusing the business on what we are best at and I’ll remind you that automotive, we -- historically that’s became a greater proportion of our sales. It was 35% of revenue in 2010 and it became 53% last year in 2013. And there are plenty of opportunities there, as evidenced by our navigation licenses in Q3 with 3.2 million units relative to 2.6 million units recently or last year. And when I was at the Paris Motor show recently, we met a number of customers there. I think we’re in a good strong position to support them even further and to sort of start becoming a stronger orchestrator if you like in the challenge towards moving to smart guidance and intelligent driving. And in fact we had 62 models launched there overall. I think more than 50 came from us, as I just commented. So more focus on what we’re best at, automotive followed by a small but rapidly increasing enterprise opportunity in business. But also being in the consumer, because consumer also has a linkage with automotive. We have to play both games to do so. So that’s a commentary on the strategy as such and now Sean Fernback is appointed. He’s from within. He also has good strong experience from outside and I think he is the right person to balance the business longer term between growth and profitability.
Timo Ihamuotila: What relates to the impairments, so clearly this adjustment of strategy was the trigger to do the impairment analysis and as has been discussed, there are certain changes in the business, which Rajeev discussed and I also discussed earlier. So I'm not going to repeat that but I still want to highlight that -- it is worth nothing that HERE has had this valuation in our books since 2011. And since that time, both top line and profitability have decreased. And that’s an observable fact but from an accounting perspective it is also something that needs to be taken into account, when one assesses the riskiness of cash flow projections.
Matt Shimao: Stephanie, we’ll take our next question.
Operator: Your next question comes from the line of Mark Sue with RBC Capital Markets. Your line is open.
Mark Sue - RBC Capital Markets: Just in terms of how we should model HERE, how we should think about the volume growth and subsequently ASP trends; because I would imagine the ASPs are going to be much higher as you change your focus to enterprise and all those. And then also how we should think about the sales cycles? And maybe your thoughts of how you feel that this can be a de-facto alternative to Google Maps in the auto business and other segments that you are targeting?
Timo Ihamuotila: So maybe I’ll start with HERE modeling and ASPs. So first of all, it’s worth noting that when you look at HERE top line, so we have an increase in auto as was discussed earlier. Simultaneously we have had some decrease in some other areas like mobile and B&B, which are working to the other direction. And then if you look at auto as we have discussed earlier, we think that we have an opportunity to increase both attach rates as well as ASPs, but these come in quite slowly, because of course when you look at the cycle times in automotive and when you design something now and you co-operate with the customers, those models might then roll out some years from now. So we feel that this is a good opportunity to drive long-term growth and profitability but really that is how the dynamics work on the market.
Matt Shimao: Thank you Mark. Stephanie, next question please.
Operator: Your next question comes from the line of Francois Meunier with Morgan Stanley. Your line is open.
Francois Meunier - Morgan Stanley: The ramp up in the U.S., which is quite exceptional, sequentially up 50%. Just wanted to have a bit more detail about what’s going on there, if it’s a ramp with one VoLTE customer or is it a ramp with maybe two customers?
Rajeev Suri: So as I said it was a bit broad based, but the bigger driver was the customer we won last year, Sprint. And of course we didn’t have that meaningful position a year ago. So the rollout began to happen in earnest in Q3.
Matt Shimao: Thank you Francois. Stephanie, we’ll take our next question please.
Operator: Your next question comes from the line of Ittai Kidron with Oppenheimer. Your line is open.
Ittai Kidron - Oppenheimer: A couple of questions from me. First of all you had a change in technology and maybe you can give us some color around that? And second, Timo you’ve talked about an increase in CapEx to a brief part of that associated with an increase in capacity in Networks. Can you talk about how immediate is that spend going to be; number one. And number two; why was this not part of the plan? Does that mean that the demand in Networks is far exceeding your expectations and does that apply also to your outlook now for Networks is much better than it’s been up until now, from a top line standpoint that is?
Timo Ihamuotila: So if I’ll start from the CapEx question, I must tell I didn’t quite get the first question so maybe you can repeat it after this. But on the CapEx, I don’t think there is anything extraordinary going on here. We were expecting approximately €200 million CapEx for the year. Now that number is €250 million. It's fair to say that we have had some more activity maybe that we expected in Networks and in that sense I wouldn’t draw any conclusions from that CapEx level for future CapEx levels going forward.
Rajeev Suri: And just want to be sure that the first question was about the new Head of technologies?
Ittai Kidron - Oppenheimer: Yes.
Rajeev Suri: So Ramzi Haidamus, he joined us recently and he’s I think a couple of months into the job now and he comes from Dolby. He’s an expert at the whole licensing business where he spent a long time but also at management of new incubation opportunities, both of which kind of constitute the core of Nokia Technologies.
Matt Shimao: Stephanie we’ll take the next one please.
Operator: Your next question comes from the line of Ehud Gelblum with Citigroup. Your line is open.
Ehud Gelblum - Citigroup: Couple of clarifications mainly. First of all, Rajeev earlier in the year you have been talking about several service contracts that you had divested from. I wondered how that impacted the year-over-year this quarter on the services side. Second of all, on the Paris Show, I want to make sure that the number is right. You have 62 new models, 50 actually used here, technology. Just want to how that compares to standard navigation systems out in the field today. So is that little bit of your shares increasing or same thing? Third the plant in India that you still own from the Microsoft in Chennai from the Microsoft deal, can you give us an update on what’s happening there. Is that OpEx right now in your OpEx? Will that at some point start falling off and as you shut it down over the timing is that? And then I didn’t hear a number answer. I think we're looking for numerical quantification answer on the catch-up spend from the component charges. Those seem to be completed. If you can give us any kind of sense Timo, as to how much that impacted this quarter, we can just have a better sense of normalizing just kind of knowing it's there but if you can give us percentages or €20 million, €50 million, €100 million anything about that we can kind of work with and will have an impact on margin. So those are the main clarifications?
Rajeev Suri:  Thanks. Let me answer one of the questions. You talked about managed services. So no, we don’t have a big compatible. So there is no big divestiture in the managed services impact to quarter. It's more clean from that comparison perspective.
Timo Ihamuotila:  Yeah, and I think if I got all of this, so there were question on the HERE regarding the 62 and 50 in the Paris Auto show. Of the 62 new models, 50 had our navigation, I don’t know, maybe they were in models which didn’t have it. So, I really don’t know about stat, but I would say at least our market-share is holding very well in that market and we have a very, very strong position on the content and that we of course want to build now to provide our value added platform services to our automotive customers. It was [indiscernible] OpEx or did I miss that. Could you that sort of middle part, then you had the component shortages? So, maybe I will go to the component shortages. So, we called this out because it was a meaningful driver but unfortunately I can’t give you more color. As I said, we don’t expect this to impact same extent going into Q4 as it impacted Q3. So the bigger part of that catch-up really was happening in Q3. And Nokia brand, we of course continue to view that as a very important asset. We're actually quite pleased that we were able to negotiate the contracted margin in a way that we were able to fully keep Nokia brand in Nokia ownerships. We have still some limitations on use of the brand but we feel that that’s an important asset for Nokia and yes we have spent a little bit of additional OpEx in Networks on the rebranding from NSN to Nokia Networks, but we are not having any -- call it a previous drag in our numbers from earlier brand investment if that was the question.
Matt Shimao:  And on the component related catch-up, we unfortunately don’t have a quantification for that, but frankly I think we got most of your question. So we’ll take the next question please, Stephanie.
Operator: Your next question comes from the line of Chris Hogg with Merrill Lynch. Your line is open. 
Unidentified Analyst: Hi. It's actually [indiscernible]. I had two and the first one was on China. So I just wanted to follow on the earlier comments you made. So I guess it's a broader question rather than Nokia Networks specific. So do you think the ramp up there is going ahead as planned or is there substance to some of the other supply chain coming through -- we’re suggesting the some of the carriers there may not be able to achieve their full year rollout target? That’s the first one. The second one just quickly on HERE, the write down. Does this make you more inclined now to be potentially opportunistic about divesting the business given that you've essentially cleared the decks now? Thank you.
Rajeev Suri:  Thanks. So, first question were ramp ups. I think ramp up broadly going to plan. There are some delays in Western Europe and so on, but in terms of the component shortages itself, like we said, they've gone up and we have mitigated this issue by bringing on board a second supplier, meaningfully given volumes off those modules that were in shortage to that second one and also we’re developing other alternatives, moving to even most suppliers over time. So if that was a question then that's the answer.
Timo Ihamuotila: And regarding the HERE impairment, that debt thing really was a result of this adjustment strategy as this cost earlier and clearly it has no relation to any of our business portfolio type of thinking.
Matt Shimao:  Thank you, Kye. And Stephanie, we’ll take our last question for today.
Operator: And your last question comes from the line of Richard Kramer with Arete. You are line is open.
Richard Kramer - Arete: With HERE, the missing piece seems to be talking about the economics of deals like Samsung, Yahoo! or Amazon as an indirect root to consumers. Are these deals scaling with the volume of devices or usage? Are they one-off software license sales? And can you shed some light on how you might package assets like HERE with IPR in the AT market -- in the AT business for the connected car market? And one last question that hasn’t been touched upon, you've spoken in the past about how the value of the Nokia brand as a key component of AT. Can you shed some light on how you might monetize that asset? Again, will it be a one-off software license fee, will it be something that scales with volume? Just give us a sense of the economics of these sorts of deals? Thanks.
Timo Ihamuotila:  Well that was quite a bit. So thanks Richard. So first of all, if we look at these deals which we have with different internet players, so there are different kind of deals. We would like to have deals which are volume dependent in some cases but in some cases, actually of course depending on how you see the business situation and the partnership. It would be good to have a deal which is more like a fixed type of fee. We have both kinds of deals at the moment there. Then back to IPR [ph] with AP and [indescribable], I don’t think we really look at in this way. So HERE is a separate business which is serving its automotive customers. And of course when you have a customer, by definition when the customer uses your product they also will need to be able to trust that they get the IP to use the product. So that would be my view on that question. And finally on brand, we have not really spoken about anything else that we have looked at different business models, what other people have been using on brand and we will of course carefully assess what would be the best way for us to maximize the value of the Nokia brand, also taking into account that we’re in the lock-up period still in the Microsoft transaction regarding our possibility to use the brand and we have recognized that Nokia brand is the most valuable from recognition perspective in the area of mobile phones and mobile devices. And there we cannot go yet at the moment.
Matt Shimao: With that I’d like to turn the call back over to Rajeev for some closing remarks.
Rajeev Suri: Thanks Matt and Timo and thanks again to all of you for joining. I would like to close by reiterating three points. First, Nokia’s performance in Q3 was very good with Networks really firing on all cylinders. Second, we saw some strength in the quarter that was unique to the quarter. So please keep things in perspective. Third, I look forward to seeing you all at the Capital Markets Day on the November 14th. So see you later.
Matt Shimao: And ladies and gentleman this concludes our conference call. I would like to remind you that during the conference call today we have made a number of forward-looking statements that involve risks and uncertainties. Actual results may therefore differ materially from the results currently expected. Factors that could cause such differences can be both external such as general, economic and industry conditions as well as internal operating factors. We have identified these in more detail in the Risk Factors section of our 20-F for 2013 and in our Interim Report issued today. Thank you.